Operator: Greetings, and welcome to the Mytheresa Fourth Quarter and Full Fiscal 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Today's call is being recorded and we have allocated one hour for prepared remarks and Q&A. [Operator Instructions] Thank you. It is now my pleasure to introduce your host, Martin Beer, Mytheresa's Chief Financial Officer. Thank you, sir. Please begin.
Martin Beer : Thank you, operator, and welcome everyone to my Mytheresa's Investor Conference Call for the Fourth Quarter and Full Fiscal Year 2024. With me today is our CEO, Michael Kliger. Before we begin, we'd like to remind you that our discussions today will include forward-looking statements. Any comments we make about expectations of forward-looking statements and are subject to risks and uncertainties, including the risks and uncertainties described in our Annual Report. Many factors could cause actual results to differ materially. We are under no duty to update forward-looking statements. In addition, we will refer to certain financial measures not reported in accordance with IFRS on this call. You can find reconciliations of these non-IFRS financial measures in our earnings press release, which is available on our investor relations website at investors.mytheresa.com. I will now turn the call over to Michael.
Michael Kliger : Thank you, Martin. Also from my side, a very warm welcome to all of you, and thank you for joining our call today. We will today comment on the results and performance of our fourth quarter and the full fiscal year 2024. We are very pleased with our results in a still challenging macro environment. With strong revenue growth and positive adjusted EBITDA in the fourth quarter, we continued our very positive business momentum from the third quarter and have achieved a significant step up in financial performance in H2 compared to H1 of fiscal year 2024. We have reaffirmed our leadership position in a clearly consolidating sector. We still see slower demand from aspirational customers and promotion intensity in the market by competitors, but our clear focus on the high spending, more to building top customers allows us to win market share and growth. Strong top customer growth, a record high average order value, and excellent customer satisfaction scores demonstrate our relentless customer focus, which is a key success factor for Mytheresa. We clearly see ourselves as one of the few winners in the consolidating luxury digital space. I wish to highlight today three key messages to you that make us stand out in the fourth quarter and demonstrate the strengths of the Mytheresa business, despite ongoing macro uncertainties. First, we see clear evidence that after a difficult period last autumn, our business is back on track for strong, profitable growth. Our business fundamentals have further improved, and the United States continues to be a strong driver of our growth. Second, our core value of building a community for luxury enthusiasts and creating desirability with digital and physical experiences is paying off greatly. Our success with top customers is very evident in our results, and our focus on big spending wardrobe-building top customers continues to drive the desire for luxury brands to partner with us for exclusive activations. Third, our very resilient and consistent business model allowed us to significantly improve our business compared to Q4 of fiscal year 2023. Outstanding customer satisfaction, record high average order value, decreasing customer acquisition costs, and stable operating cost ratios were again highlighted in the fourth quarter. In summary, we have accelerated our top-line growth and profitability. We have reinforced our unique positioning with top customers. And we have delivered excellent business KPIs in the fourth quarter of fiscal year 2024. Let me now comment in more detail on these three messages. First, let's look at the continued improvement in top and bottom-line. We grew our gross merchandise value, GMV, by plus 7.8% in Q4 of fiscal year 2024 compared to Q4 of fiscal year 2023, leading to a double-digit GMV growth of plus 11.4% in the second half of fiscal year 2024 as compared to plus 2.5% in the first half. For the full fiscal year, our GMV growth reached plus 7.1% compared to full fiscal year 2023. The United States continues to be a significant growth driver of our business, generating an outstanding growth of plus 22.8% in full fiscal year 2024 compared to fiscal year 2023 and with a growth of plus 25.2% in the second half of full fiscal year 2024. Also for the full fiscal year the US Accounted for 19.9% of the GMV of our total business. It is clear that our highly curated selection of true luxury brands, resonates very well with the big spending US luxury customers looking for multi-brand inspiration. We also experienced net sales growth in Europe in the fourth quarter with plus [11.2%] (ph) compared to Q4 fiscal year 2023. China and Asia continue to be impacted by ongoing macro headwinds and uncertainties. The fourth quarter we also continued our improvement in adjusted EBITDA margin with plus 4.7%. In the second half of fiscal year 2024, we thus achieved an adjusted EBITDA margin of 4.3% versus 1.7% in the first half of fiscal year 2024 and versus 2.3% in H2 of fiscal year 2023. Our strong double-digit growth, an almost doubling of profitability in H2 or fiscal year 2024 is clearly demonstrating the strengths and the consistency of our business model, delivering profitable growth, despite ongoing macroeconomic headwinds. Second, our [essence] (ph) of building a community for luxury enthusiasts and creating desirability through digital and physical experiences, is paying off greatly and is also driving the desire for luxury brands to partner with us for exclusive activations. Our top customer base grew by plus 3.4% in the fourth quarter and in addition, the average spend per top customer grew at plus 4.6% in Q4 2024 versus Q4 2023. Overall, the share of top customers in our business in terms of GMV has increased from 32.6% in full fiscal year 2021 to now 39.2% in full fiscal year 2024, a continued growth over the past four years. The positive result of our top customer focus is also reflected in the growth of our US top customer base that grew by plus 39.4% in fiscal year 2024 compared to fiscal year 2023. Our successfully growing global top customer base and our unique access to such big spending wardrobe building customers, makes us a highly desired platform for luxury brands seeking partnerships. In the fourth quarter of fiscal year 2024, we saw again many high-impact campaigns and exclusive product launches underlining our strong relationships and the sustained support from our brand partners. We launched an exclusive capsule collection with Dolce & Gabbana for women's wear and kids wear with over 50 styles and exclusive Missoni capsule collection featuring women's wear, beach wear styles and home lifestyle products as well as capsule collections with Valentino and Givenchy, only available at Mytheresa. We also launched exclusive styles from [Loewe] (ph), only available at Mytheresa, and were exclusive pre-launch partner for collections from Saint Laurent, [Tots, Dior,] (ph) Etro, and Gucci, providing Mytheresa customers exclusive first access to these products. In addition to creating desirability for our top customers with highly exclusive digital campaigns and product launches, we also bring together our top customers for amazing physical experience. In the fourth quarter, we hosted various VIC events for our top customers across the globe. We invited a group of top customers to the Dolce & Gabbana Beach Club in Saint Tropez, welcome top customers to the Bvlgari Aeterna event in Rome and the Saint Laurent Gio Ponti cocktail at Salone del Mobile in Milan. We hosted further events in London, Stockholm, New York, Connecticut, Shenzhen, Xiamen and Singapore. Please see our investor presentation for more details on top customer events. The essence of Mytheresa is to build a community for luxury enthusiasts through physical money can buy experience. In the fourth quarter, we hosted several unique multi-day experiences in partnership with luxury brands. One such outstanding highlight was a two-day Italian experience we created together with Brunello Cucinelli at Lago d´Orta, including an intimate dinner and picnic joined by Brunello Cucinelli himself. Only a few weeks later we hosted another beautiful event together with Dolce & Gabbana in the form of a two-day Capri experience on the picturesque island to also celebrate the launch of the exclusive Dolce & Gabbana capsule collection only available to Mytheresa customers. The third highlight in collaboration with Valentino, was a private dinner and cruise on Board of the iconic Christina O. Yacht along the French Rivera, the launch of the Valentino Escape 2024 capsule collection. In addition to engaging with our top customers, such events also create global brand awareness for Mytheresa through press and global social media amplification. Please see our Investor Presentation for more details on these unique money can't buy experiences. As the US continues to be a key driver for our growth, we also continue to strengthen our brand building efforts here. Following the success from last year, Mytheresa, in partnership with Flamingo Estate, created another eight-week shopping pop-up experience to inspire and entertain our guests with an immersive physical luxury shopping destination in East Hampton. The highly successful immersive physical luxury shopping experience attracted over 6,000 registered guests, offering them programming each week, including monogramming and embroidering with Missoni, Etro, Globe-Trotter, Ananya, Ruslan Baginskiy, Savette, and Joseph Altuzarra. Our cooperation partner, Porsche, displayed their not-yet-on-the-market Macan and Taycan electric cars for clients to test drive. Please see our investor presentation for more details on the pop-up experience in East Hampton. Let me conclude my statement by commenting on the third accomplishment in the fourth quarter. Our very resilient and consistent business model allowed us to significantly improve our business performance. Martin will talk in a few minutes about the details of our bottom-line results for the fourth quarter of fiscal year 2024, but let me provide you with some key operational highlights. Our customer satisfaction, which we measure by our internal net promoter score, reached an outstanding 83% in Q4 fiscal year 2024, showcasing the consistent excellence of our customer services. Our average order value increased to a new record high of EUR703, underlining the success of our focus on selling high-end luxury products. Finally, our customer acquisition costs decreased by 2.5% in the fourth quarter of fiscal year 2024. This shows our continued ability to unlock efficiencies in our proprietary customer targeting algorithms. We also successfully continued the ramp up of our operations at our distribution center in Leipzig, with more than 80% of all customer orders already processed at the end of July. As part of our strategic focus on global growth, operational excellence, and continued profitability, we have made the decision to close our legacy distribution center in Heimstetten. We expect that this will result in increased customer satisfaction and cost efficiencies thanks to the unique location of the Leipzig Distribution Center at the airport allowing for much faster international shipping. With all the above, it should come as no surprise that we are very pleased with our performance in the fourth quarter of fiscal year 2024 and the full fiscal year 2024. We believe that our results demonstrate the strength and consistency of our business model delivering profitable growth. The results also demonstrate what we believe is a superior market positioning, clearly focused on the big spending top customers. We see ourselves as a clear winner in the consolidating luxury e-commerce space. We are extremely well-positioned to benefit from the tremendous growth prospects as market conditions continue to improve globally. To capitalize on these prospects, we are actively evaluating opportunities to support and accelerate our investments in future business growth. This also supports our strong confidence in our medium-term growth trajectory and profitability levels, despite the ongoing short-term uncertainties in the macro environment right now. And now I hand over to Martin to discuss the financial results in detail.
Martin Beer : Thank you, Michael. We are very pleased with our plus 13.8% net sales growth in H2 of fiscal year 2024 and almost doubling profitability on adjusted EBITDA margin level in H2, all in-line with our previous guidance. Our gross profit margin slippage in Q4 of fiscal year 2024 reduced further to just 150 basis points, standing at a strong 47.4% gross profit margin. We are continuing to successfully work through our inventory levels, are now below a DIO of 300 days and expect to achieve the targeted DIO of 260 days in the next nine months. For the full fiscal year of 2024, we had a positive operating cash flow and no bank debt in our balance sheet. I will now review the financial results for the fourth quarter, second half, and full fiscal year of 2024, ended June 30, 2024, and will provide guidance for the fiscal year ahead of us. Net sales increased 13.8% in H2 of fiscal year 2024 to EUR456.8 million, with a solid Q4 growth at 9.7%. For the full year, we achieved net sales of EUR840.9 million, a growth of 9.8%. GMV for the full fiscal year was at EUR913.6 million, a growth of 7.1% year-over-year. Our growth is driven by our strong and loyal customer base. Our top customer base is expanding continuously. As today, the top 3.7% of our customers drive 39.2% of our total revenues in fiscal year 2024. During the fourth quarter of fiscal year 2024, GMV per top customer increased by plus 4.6% and plus 7.4% for all customers. Our AOV increased by EUR49 per order delivered to an industry-leading EUR703 in the fourth quarter of fiscal year 2024 on an LTM basis. The continuous growth of our AOV clearly improves our order economics and truly underlines our successful focus on full price selling, as well as our unique and superior positioning at the very high end of luxury. With this three spots in digital luxury experience, we expand our leadership position with top customers all over the world, especially our core markets in Europe, the US, Middle East, and rest of the world. During Q4 of fiscal year 2024, gross profit increased by 6.3% to [EUR105.8 million] (ph), up from EUR99.5 million in the prior year period. The gross profit margin during the quarter stood at a strong 47.4%. During the quarter we were able to again reduce the gross margin slippage to 150 basis points compared to 220 basis points in Q3 and 490 basis points in Q2 of fiscal year 2024. We still see the effect of promotional intensity of struggling competitors considering their exit or desperately finding their position in a clearly consolidating market. Our profitable top-line growth highlights the success of not following that route, but staying true to our uniquely curated offerings with increasing brand support, full focus on full price selling, and achieving high [sales for rates] (ph). Adjusted shipping and payment cost ratio during the fourth quarter of fiscal year 2024 increased by 70 basis points to 14.7% as compared to 14.0% in the prior period. This expected increase is due to our broadening customer base worldwide with an increasing share of shipments to countries where we pay all duties and taxes for all customers. For the full fiscal year, the adjusted shipping and payment cost ratio was at 14.7% as well. We're continuing to successfully implement further cost efficiencies through our high performing payment and duty system set up worldwide. Our focus remains on the acquisition and retention of top customers. As laid out in our end report, we see continuously expanding ratios of lifetime value over customer acquisition cost for our customer cohorts. Our CAC decreased again in Q4 of fiscal year 24 by 2.5%. Also for the full fiscal year 2024, we were able to achieve a 2.6% lower CAC. With this successful focus in aligning to a still challenged overall market environment, marketing expenses decreased by 250 basis points from 13.1% in fiscal year 2023 to 10.6% in fiscal year 2024. The adjusted selling general administrative expense ratio decreased 180 basis points in H2 of fiscal year 2024 to now 13.2% down from [15.0%] (ph) in H1 of fiscal year 2024. This successful development mirrors our relentless efforts in achieving cost leverage in SG&A. We are in the process of winding down our legacy distribution Center and relocating the remaining operations to our new Leipzig distribution center with clear benefits for the customer experience, end-to-end and enabling further cost leverage. On adjusted EBITDA level and in line with our guidance, we significantly increased profitability levels in H2 versus H1 of fiscal year 2024 and as well in Q4 of fiscal year 2024 compared to the preceding year period. In H2 of fiscal year 2024, the adjusted EBITDA margin was at 4.3% up from 1.7% in H1. The 4.3% margin in H2 of fiscal year 2024 also compares to the 2.3% of H2 in the previous fiscal year. For the full fiscal year, we achieved EUR25.8 million adjusted EBITDA at a 3.1% margin, compared to 5.0% adjusted EBITDA margin in the previous fiscal year driven by a weaker H1 of fiscal year 2024. In sum, in H2 of fiscal year 2024, we were able to achieve increasing profitability levels combined with excellent top-line growth, despite continuing market challenges. Depreciation and amortization expenses in Q4 increased only moderately to EUR4.1 million or 1.7% of GMV from 1.4% in the prior year quarter. This mirrors our effective strategy of not capitalizing IT costs, but to have the full effect while past IT, re-platforming and continuous IT improvements always, already extends in our P&L. With the resulting lower levels of depreciation and amortization, our increased profitability is also visible on adjusted operating income, as well as adjusted net income level. For the full year 2024, adjusted operating income was at a positive EUR10.6 million and adjusted net income at a positive EUR7.7 million. Let's take a look at the cash flow statement. For the full fiscal year 2024, we had a positive operating cash flow of EUR10 million. In addition, we closed the year with no bank liabilities, full availability of our EUR75 million revolving credit facility, and EUR15.1 million cash at hand. In the fourth quarter of fiscal year 2024, our cash flow from investing activities only used up EUR2.4 million, as we have now almost fully completed the remaining payments of the new warehouse in Leipzig. With no additional major investments planned, we expect our CapEx to make up around 1% of GMV for the full fiscal year, a unique benefit of our business model. Let me give you an update on our inventory situation. Over the preceding quarters, we have successfully managed through our inventory levels, continuously aligning inventory growth with our overall top-line growth and achieving normalized levels of inventory. Inventory growth year-over-year was a plus 2.9% at the end of the fourth quarter of fiscal year 2024, coming down from plus 44.4% in Q1, plus 33.1% in Q2, and plus 11.9% in Q3 of fiscal year 24. In June 2023, our DIO stood at 310 days and was at 296 days in June 2024. We expect to return to our target range of 260 days by the end of fiscal year 2025. Turning to the guidance for fiscal year 2025, which runs from July 2024 to June 2025. We have been continuously gaining market share and consolidating market and will continue to do so. We are growing profitably with our continued focus on top customers and full price selling in our curated offer. We are seeing an easing of the current commercial environment, especially with the current fall-winter 2024 season, and expect trends to further ease in calendar 2025. But nevertheless, macroeconomic uncertainties persist near-term, and we remain cautiously optimistic for the period until June 2025. For fiscal year 2025, we therefore expect GMV and net sales growth between 7% and 13%, adjusted EBITDA margin between 3% and 5%. We continue to [not guide] (ph) on quarters, but want to give you a snapshot of our current expectations. Q1 and Q3 of fiscal year 2025 are expected to be quarters with weaker top-line growth and weaker profitability. And Q2 and Q4 of fiscal year 2025, with stronger top-line growth and stronger profitability. In-line with the usual pattern, we expect H1 top-line growth rates to be similar to H2 of fiscal year 2025 and on profitability levels, H2 to be stronger than H1. Q1 of fiscal year 2025, ending September 2024, is performing well and in-line with our expectations. We're very confident in the medium and long-term outlook of the business, and we will benefit more quickly and over proportionally when the overall luxury market returns to full strength. Mytheresa is already the leading luxury multi-brand digital platform and we continue to fortify our leadership position being the best partner not only for top luxury brands but also for our top customer base. And with that I will now turn the call back over to Michael for his concluding remarks.
Michael Kliger : Thank you Martin. As stated we are very pleased with our fourth quarter and full fiscal year 2024 earnings results. We have seen a marked performance improvement in the second half of fiscal year 2024. With this strength and consistency of our business model, we see ourselves well-positioned to achieve our fiscal year 2025 guided targets. The first few weeks of the new fiscal year support our confidence. We believe that Mytheresa offers the best digital luxury shopping experience for big spending consumers and true luxury brands. We will further grow our community of luxury enthusiasts through highly desirable digital and physical experiences globally. And with that, I ask the operator to open the line for your questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] And your first question comes from the line of Oliver Chen from TD Cowen. Please go ahead.
Oliver Chen: Hi, Michael and Martin. On the quarter, gross margins were lower than what we were modeling. I know a lot was in-line with your full year guidance, but what's happening there and also as you think about working through inventory levels over the next nine months, which inventory levels are you most concerned about? Also, as we think about guidance, your longer-term guidance calls for high teens relative to how you guided 7% to 13%. What do you see happening? I think there is normalization still happening as you think about that relative to what you see longer-term. And then finally, on the quarter-to-date, can you clarify if the growth rate you're seeing is similar to fourth quarter or what's the nature of what you're seeing recently with this customer? Thanks a lot.
Michael Kliger: Thank you, Oliver. Let me take your two last questions and Martin can talk to the gross margin and the inventory levels. So medium-term outlook, yes we do believe that we are in a cyclical moment and given at least on our momentum, we see that we have believed that we have seen the trough. And so there is further normalization. We are cautiously optimistic with our guidance of 7% to 13% growth, but we do see enough reasons to then continuously further improve and therefore quote high-teens as our medium-term outlook as economic, political environment, normalize across the globe and give luxury, as a sector back on the growth trajectory. And in terms of the quarter-to-date, we feel comfortable with our numbers in-line with our full year guidance of 7% to 13%. So we are given a few weeks, but given a few weeks, we are – feel very confident with our full year guidance of growth. Maybe Martin, you address the other questions from Oliver.
Martin Beer: Yeah, happy to do so. I mean, gross profit margin in-line with the industry trend in -- for the fiscal year, we took it there. But as you are aware of, we really improved the situation from Q1 to Q4, and especially in fall-winter 2024 season, we clearly see improved full price -- improved sell-through rates, which gives us [good things for fiscal year] (ph) to also clearly see here that we expect no further gross profit margin slippage for the full fiscal year. So we are very confident of seeing a much better improved situation in the next 12 months. The mid-levels, also -- I called that out the inventory growth that was not aligned with the top line to rebalance it and to now have a situation where we are almost, on the level of last year June, despite a 10% growth. But we are not there yet. So we will continue to work through the inventory levels. Now, 296 days of inventory outstanding, we expect a further improvement in the DIO to the target of the level of 260 days and that will lead to again the overall inventory to really have that tightly managed and have a clear expectation for the end of June, so for the end of full fiscal year 2025, to have achieved the targeted inventory levels that we always had, the 260 days. And so we are quite happy on how the last quarters we were able to manage through the inventory levels, despite the high promotional intensity in the industry and to achieve growth and profitable growth. Because -- we always have to obviously look from it from multiple sides and balance it. So from that side, I'm quite happy.
Oliver Chen: Okay, thanks. Really helpful. A follow-up. Michael, how would you compare and contrast the US customer relative to Europe and that Asia we are worried about some overarching, like, out of your control factors with housing and consumer sentiment? Would love your thoughts as you go around the world and look at customer trends. And finally, Martin, and the comparisons do get harder in the second half, but I think I believe you mentioned that revenue should be similar in terms of growth rates between first and second. Just any color there as we model that as well. Thanks, gentlemen.
Michael Kliger : Happy to answer the follow-up. So we go around the globe, the US consumer sentiment stand out, even though I of course have to state that our plus 25% in H2 is far above the market trend. So it is really of course a reflection of the customers we target, the high-end customers. But we have seen a very good sentiment, which also continues in the US. Europe is improving, so it is looking better with maybe the exception of Germany. Consumer sentiment, particularly in some of the southern countries, Italy, Spain, Greece, but also France, UK have improved. We are very pleased with that situation because Europe represents a big part of our business, even though the US is not the biggest single market for us. But Asia is at the other end of the spectrum and we do believe that it will take some more time until the uncertainties particularly around as you mentioned the Chinese housing market are mitigated, are resolved. I'm not even sure what the best word for that. But also outside of Greater China, there are of course also bright spots, bright spots like Singapore, bright spots like Thailand, like Malaysia, like the Philippines, they are of course not yet of the size of Greater China, but there are bright spots also in that region.
Martin Beer: Yeah, and maybe for the balancing of H1 and H2 net sales to equal growth, yeah, which is a bit counterintuitive if you look at the overall situation. It's basically driven by Q2 of the previous year, which was very low. We've had only a net sales growth of 3.1%. So the comp of Q2 is low, and the comp of Q3 is very high. The comp -- we had a plus 18% net sales growth in Q3. And so those two effects then balance the more regular expectations of Q1 and Q4 to arrive at very comparable top-line growth in the H2 and H1 of this fiscal year.
Oliver Chen: Thank you a lot, best regards.
Operator: Your next question comes from the line of Matthew Boss with JP Morgan. Please go ahead.
Amanda Douglas: Great, Thanks. It's Amanda Douglas, on for Matt. So Michael, could you elaborate on how you're seeing the consolidation in the sector influence your business as you think about new customer acquisition, brand relationships, or the broader promotional environment?
Michael Kliger: Yeah, I'm happy to respond to that. I mean, obviously, as an observer of the market, we have seen players announcing [merger as players] (ph) in exit of the market, and that has various effects, of course, of the industry dynamics. One is we do believe that with larger, more consolidated players we should avoid these significant unbalances of demand and supply that led to the high promotional intensity last autumn. So we do believe the promotional intensity should normalize. There will always be promotions and there will always be fierce competition, but it should normalize. On custom acquisition costs, I think also here we do believe and we saw some effects in Q4 that the enormous spend that we have seen with some players in the past on digital marketing will normalize. Again, it's not that it won't continue. Everyone wants the best customers, and therefore we of course have developed our hopefully very smart algorithms to target the best, but we have seen some exuberance in spending and the cutbacks that some players should bring it to normalization. I think overall it is a clear vote for quality of customer relationships, quality of assortment building. That seems to be what drives winning in this marketplace. And I think that's good news for customers and that's good news for brand partners that you can win and must compete on those items and not on the lowest price, which is not a sustainable business model.
Amanda Douglas: Great. And to follow up for Martin, could you elaborate on the cadence of your gross profit dollar growth expectations throughout fiscal 2025 as we think about the front half versus the back half of the year?
Martin Beer: Yeah, I mean, obviously, we are well in-line with the way with setting our growth also on the gross profit level. But we are explicitly not targeting gross profit especially not on targets because the overall market situation still remains to achieve [indiscernible] with a big uncertainty. And so overall, we clearly see gross profit growth will continue and will be strong as we are at a low base our gross profit margin, but it all depends on the overall situation in the market. So this will be a key driver, a prediction or cadence of the gross profit growth over the quarters.
Amanda Douglas: That's helpful. Thank you.
Operator: Your next question comes from the line of Ashley Helgans with Jefferies. Please go ahead.
Blake Anderson: Hi, this is Blake on for Ashley. Thanks for taking our question. So I wanted to start-off with if you could just talk about if you had to maybe rank it the key factors in terms of your sales guidance that would drive you to be at the low end versus the high-end. Any initiatives that you can really elaborate on that you're focused on. And then also just any more commentary on the aspirational customers, how they are performing. Can you talk at all about maybe customer growth versus transactions or their AOV as well? Thanks so much.
Michael Kliger : Thank you, Blake. I mean, if I think about our range of 7% to 13%. I think the real driver for the low and high end-points is more in the macroeconomics or political environment than in key initiatives. I mean, our initiatives are being pushed and they really center on creating this community for luxury enthusiasts, really driving customer engagements through more and more events and more and more opportunities and of course the continued drive to offer the best assortment there is. And add to the assortment even more valuable brands, even more valuable individual pieces. So I think what leads to a 7% or a plus 13%. It's more faster or not so fast recovery of the economic situation in Europe, the potential positive or not so positive aftermath of the US election decision or particularly what happens in China. I think that's more where it sits. On the aspirational customer, it's a slow normalization. There is nothing evident in China, which had a large part of aspiration customers, a large part of customers focusing on accessories and bags. There's some improvement as mentioned last time in the US. There's some improvement now in Europe. But if we look at our numbers, we grew our top customer base 3.4%. We grew our average spend per top customer by 4.6%. So numbers and spend went up. But for the total population, we still saw a flattish total customer numbers and it's really in the average spend per customer. So there is at the moment still even if you go below the top customers more sort of weeding out of the [big tier] (ph) spenders versus the aspirational customers. Not as strong as before, but I think we purely focus on aspirational customers or if you have the brand or platform that had significant success with the aspirational customer segment, I think this is still three, four seasons out before we are fully back.
Blake Anderson: Got it. Thank you so much and best of luck.
Michael Kliger : Thank you, Blake.
Operator: Your next question comes from the line of Grace Smalley with Morgan Stanley. Please go ahead.
Grace Smalley: Hi, thank you for taking my question. I just had one please just in terms of what you're seeing across the industry on luxury brands pricing, given some of the weakness that we are seeing in the aspirational consumer, whether you started to see across the industry brands introduce lower price points or even directly reduce their pricing on some product categories. Thank you very much.
Michael Kliger : Thank you, Grace. I mean, pricing clearly was before the weaknesses that turned up last summer was on a roll and we have seen significant price increases. That has stopped. So I think we're clearly, for most brands, in a moment where prices stay, and so over time with some inflation prices in real terms will come down. It will be interesting to see further development of new price entry product. And we have seen some very few, but we have seen brands that have started to lower prices. And I think this is pure economics and demand was very high. There were opportunities to raise prices and some brands now feel it went too far there and lowering. But lowering prices is still the absolute exception versus the norm of just keeping it flat and sort of working it out over the coming season. So I don't see any price increases coming, But that's more what we absorb. Okay, very helpful. Thank you.
Operator: Your next question comes from the line of Wendy Gao with CICC. Please go ahead.
Wendy Gao: Hi. Thanks for taking my questions. I have one question about our new Greater China President. Do we have any expectations for her and any next plans for China? And my second question is about the top customers in China. Do you think there are any differences between the top customers in China and in the US? Thank you.
Michael Kliger : Thank you for that question. China is a very important market for us. It is of strategic importance and thus we continue to invest in the market as is evident for many luxury brands because we all are preparing and investing for recovery of the market. We do believe that the full recovery of the market will still take maybe eight months to 12 months, but nevertheless this is a market that is [facing] (ph) very high on our focus list. We brought in leadership to our team in China. We will launch a mini program on HX to provide more convenience to our Chinese consumers. We will focus with our local team with more customer engagement. So things that we believe will pay off not immediately but over time. The market has lost some competitors, so it is a good moment to step in and raise brand awareness because that's still the biggest opportunity for us to just make our type of offer, our type of business known to a good Chinese consumers. We also enjoy and are proud of our top customers in China, which we entertain with events as mentioned in the presentation before. I think the interesting part about the top customers in China as compared to other markets is that they're also very focused on ready-to-wear. It's the same logic and they're very focused on, at the moment, on the very best ready-to-wear pieces. Chinese top customers tend to be willing and able to spend even more. Some of our European top customers, so the level of spend is even higher. But it is ready-to-wear, it is [wardrobe-ing] (ph). What we have also seen, similar to what happened in the US or Europe, is that the interest of Chinese consumers of being able to travel, travel abroad, travel within China, going out is very high. There seems to be a significant discretionary spend dedicated to such occasions, which again then of course, drives the type of wardrobe needs that we see in our numbers. And that is maybe was one year delay, a similar trend that we saw in Europe and the US, the big focus on vacation wear, the big focus on [testing] (ph).
Wendy Gao: Thank you.
Operator: That concludes our Q&A session. Thank you for your interest. This concludes today's call. You may now disconnect.